Operator: Good day and welcome to the GATX Second Quarter Conference Call. Today's conference is being recorded. And at this time, I would like to turn the call over to Chris LaHurd. Please go ahead, sir.
Chris LaHurd - Director-Investor Relations: Hello, everyone, and good morning. Thanks for attending the second quarter 2015 earnings conference call. This is Chris LaHurd, GATX's new Director of Investor Relations. I recently assumed the role from Jennifer van Aken, who's transitioned on to another position within the company. With me today are Brian Kenney, President and Chief Executive Officer; and Bob Lyons, Executive Vice President and Chief Financial Officer. Before we begin, any forward-looking statement made on this call represents our best judgment as to what may occur in the future. We've based these forward-looking statements on information currently available and disclaim any intention or obligation to update or revise these statements to reflect subsequent events or circumstances. The company's actual results will depend on a number of competitive and economic factors, some of which may be outside the control of the company. For more information, refer to our 2014 Form 10-K for a discussion of these factors. You can find this report as well as other information about the company on our website, www.gatx.com. Today, GATX reported 2015 second quarter net income of $45.4 million or $1.03 per diluted share. This compares to 2014 second quarter net income of $53.1 million or $1.15 per diluted share. Year-to-date, 2015, we recorded net income of $107.6 million or $2.42 per diluted share. This compares to net income of $95.2 million or $2.05 per diluted share for the same period of 2014. We had strong performance in the second quarter. Three key highlights of the quarter include an increased Lease Price Index for North American rail, complemented by a very high renewal success rate and significant improvements to the boxcar fleet's utilization rate; stable lease revenue from GATX Rail Europe in spite of a challenging macroeconomic environment there; and solid performance from Rolls-Royce and Partners Finance. Let me now address each segment in more detail. Rail North America's fleet utilization was 99.3% at the end of the second quarter. During the quarter, the renewal rate change of GATX's Lease Price Index was 36.3% and our renewal success rate remained very high at 84%. The average renewal term for cars in the Lease Price Index was 54 months. This shorter renewal term relative to the prior quarter stemmed from weakness in coal cars which have been under pressure for some time and cars in flammable service due to regulatory uncertainty and low oil prices. Aside from these specific car-type headwinds, the remainder of our fleet experienced strong demand at attractive terms and rates, with certain car types remaining at historically high lease rates. As noted in this morning's press release, the utilization rate on the boxcar fleet has entries from 78.8% upon acquisition in March of 2014 to 97.3% at the end of the second quarter. While scrapping certain idle cars has helped boost utilization, the main driver has been our success in moving idle cars into active, long-term service. Another notable development during the second quarter were the recently enacted flammable tank car regulatory changes. Although these changes will take some time to fully develop and play out, GATX is well positioned to address these regulation changes with fewer than 1,400 tank cars requiring modifications or retirement by 2023. The secondary market for railcars remained active. Rail North America's asset remarketing income was $5 million during the quarter, compared to nearly $36 million in the prior quarter, the difference driven by timing of sale package releases. We still expect full-year remarketing income to be in line with 2014 numbers. Within Rail International, the European tank car leasing market remained stable. GATX Rail Europe is seeing steady demand across the fleet. Rail International's investment volume was more than $27 million during the second quarter, as GRE continues to take delivery of new tank cars. American Steamship Company had a challenging first half of the year facing extreme weather conditions, operating delays, and a meaningful reduction in demand for iron ore shipments on the Great Lakes. They're currently operating 12 vessels. Portfolio Management's results were driven primarily by the solid performance of Rolls-Royce and Partners Finance affiliates. Finally and lastly, GATX repurchased nearly 727,000 shares for approximately $41 million during the second quarter. At the end of the quarter, there was $57.4 million remaining under our $250 million repurchase authorization. Those are our prepared remarks. I'll hand it over to the operator so we can open it up for questions.
Operator: Thank you. We'll take the first question form Matt Brooklier with Longbow Research. Please go ahead.
Matt S. Brooklier - Longbow Research LLC: Hey. Thanks and good morning. So you talked to overall demand for railcars in North America and you mentioned weakness in coal. I think we already kind of knew that story and also some weakness around flammable service tank cars. I'm just curious to get a little bit more color in terms of demand in other car types at this point in time. And curious to hear if there's any other areas related to energy that could be feeling some weakness currently?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. Sure. It's Brian. As you said, 30,000 gallon tank cars and flammable liquids service have been very weak. But, really, that's been weak over the last 18 months. You've heard us talk about it. First, there was the uncertainty about regulations, but primarily, it's really been the over-production and the moderating demand with the downturn in the crude-by-rail traffic. But even with that rate decline and the 30,000-gallon tank cars, the rates are still historically strong. And across most tank car types, we're focused on increasing pricing and extending terms still. So, yes, 30,000-gallon tank cars are weak but there is – I'd say the rest of the fleet's hanging in there pretty well. An example of a tank car that's doing well, for instance, would be acid cars. On the freight car side, it's always harder to generalize given the diverse markets. But beyond coal, which you mentioned, small cube covered hoppers, as we predicted, are also weak in pricing there left (7:25) in the first half of 2015 as that demand has gone down. But outside of that, the chemical market, the food market, the fertilizer market, they're all hanging in there pretty well. Another example of a freight car that's doing very well right now is our boxcar fleet. So you've mentioned the tank car and freight car types that are struggling, but the rest of the fleet's hanging in there very well.
Matt S. Brooklier - Longbow Research LLC: Okay. Good to hear. And I know it's a smaller percentage and you have less exposure to the crude market, but curiosity here, your thoughts on how much potential slack there is in that market given crude price correction?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. I mean, I can't pin that down for you. But, as you know, if you listen to our calls, we think there's considerable overproduction in that market over the last two years and coming in the future, and that's why we've avoided to a large extent. We only have 2,800, 2,900 cars in crude service because we think that market has been over-served and will be over-served for quite some time. So, a lot of slack.
Matt S. Brooklier - Longbow Research LLC: Okay. And then, have you – are people taking action? We have regulations. Have you seen any changes in the tank car market? Are people repositioning equipment out of crude maybe into some other flammables or maybe even into some non-flammable categories? I'm just trying to get a sense for how the market is reacting now that we have regulations.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. We have the regulations as of May 1. But remember, since that market was already weak, I don't know that any of the weakness right now is really due to those final regulations. As I said, rates were already down on those car types. As far as term, perhaps obviously you're not going to extend on renewal of a tank car lease or one of those flammable cars beyond that modification state. So, that might have had some impact on term. But I think, for the most part, the impact on the 30,000-gallon tank car fleet and other flammable cars has been just market forces.
Matt S. Brooklier - Longbow Research LLC: Okay.
Brian A. Kenney - Chairman, President & Chief Executive Officer: So, not a lot. And as far as the conversation with customers on what we're going to do, as far as retrofit, what we've been saying still holds. We're very unlikely to retrofit those DOT-111 legacy cars. That just doesn't make sense for us. And we haven't seen – we've seen no conversation or desire from our customers to try to retrofit those legacy cars. So I'd say right now they're in the analysis phase. And in some cases, they have some time to decide here to see how regulation has finally turned out because there's a lot of challenges to them as well as the market before they have to make a decision. But right now, that activity on retrofit, as we predicted, is very light.
Matt S. Brooklier - Longbow Research LLC: Okay. I'll pass along. Thank you for the time.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Sure.
Operator: And our next question will come from Justin Long with Stephens. Please go ahead.
Justin Long - Stephens, Inc.: Thanks, and good morning, guys. I wanted to follow up first on the earlier question about the lease rate environment. You mentioned 30,000-gallon tank cars and frac sand being a little bit weaker. Is there any kind of order of magnitude you could give in terms of the lease rate decline we've seen in the industry for those two car types over the course of the year? And it sounds like everything else is pretty stable, but correct me if I'm wrong on that.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yes. Everything else is generally stable. I'd say things have come off the peak. But outside of coal, $30s in small cube covered hoppers, maybe a little bit off record highs, but still historically quite strong to the point where we like to extend term on most car types. As far as some industry color on rates for the car types you mentioned, I mean, coal is down dramatically. I think, in the industry, probably we were seeing rates in the $400s and $500s, this is now down to $200s. For sand, it really hasn't come off that much in the industry, probably down 10% to 15%. And in the $30s, obviously it's down pretty significantly. I think year-over-year for the industry, it's probably down, say, in the neighborhood of 25%. But still, once again, if you look at the absolute rates, still pretty strong even for a $30s in small cube and we'd consider – if we have any renewals, we'd consider extending term. Now, that's the other point I'd like to make about our fleet and not the industry is, especially on the small cubes, we have very little in the way of exposure. In fact, this year, I think there's literally no exposure or single-digit exposure, and through the end of next year, maybe it's a couple hundred cars. So we've positioned the fleet very well in anticipation of this downturn to have it hold up very well.
Justin Long - Stephens, Inc.: Great. That's really helpful color. I wanted to also just kind of take a step back. I mean, if you look at the railcar equipment stocks right now, there's been a significant pullback in the group. Investors seem to be suggesting this is the peak in the market and demand should start to decline in the next several quarters. But just based on talking to your customers, do you think that that sentiment and outlook for the market is similar, or are they more optimistic about where we go from here?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Well, as I said, we have virtually no customers telling us that they're going to return cars out of the existing fleet. As far as new car orders and that backlog that's out there, that is definitely more challenging and very competitive. But if you look at GATX's fleet as opposed to the industry fleet, intentionally we've talked about it ad nauseam in the prior calls, we've kept it very diversified. We constantly stress that. It's a very diverse fleet from a car type, commodity type and customer perspective. That serves to insulate that's very well due to a downturn in any one sector. It's just hard for a down – the crude cars are a great example. We have only 2,800 crude cars in our fleet out of almost 125,000 cars. It's very hard for one car type to take us down. And the other thing I'd point to for our fleet is our diligent term management. We've talked about that too. When times are good, as they have been for the last few years, we've extended term pretty dramatically, in some cases giving up rate in exchange for term, and that also serves to insulate it some way. So what I'd look at for GATX's fleet is the overall economic activity since it's such a diversified fleet. And therefore, I think it's going to hold up pretty well as long as the economy does okay. And right now, economic indicators are okay.
Justin Long - Stephens, Inc.: Okay.
Brian A. Kenney - Chairman, President & Chief Executive Officer: If you want to look at data points for how GATX's fleet might do, I mean, there's a lot of them out there, but I'd really look at GDP growth, railcar manufacturing backlog and car loadings as three good indicators of how our fleet will perform.
Justin Long - Stephens, Inc.: Great. That's helpful. And I just wanted to ask one more on the coal market. You guys have a pretty solid track record of timing the cyclicality within the railcar market for different car type. Where do you think we stand in terms of the coal car cycle? Obviously, it's very weak right now. But is this the bottom here? Is there more room to go? What's your latest kind of take on that market? And at what point would you say we've hit bottom, it's maybe time to invest?
Brian A. Kenney - Chairman, President & Chief Executive Officer: I'd say it's very unlikely for us to invest in new coal cars going forward just because of the long-term outlook for that car. As far as where we are in that cycle, I don't think we have a – it's hard to be optimistic about it right now. And I think it'll be a very challenged fleet type for the industry and for us, at least for the remainder of our visibility to the end of this year for instance. So I think it's hard to say that it's at the bottom.
Justin Long - Stephens, Inc.: Okay. Fair enough.
Brian A. Kenney - Chairman, President & Chief Executive Officer: I mean, our expectation...
Justin Long - Stephens, Inc.: Thanks for your time.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Sure.
Operator: And our next question will come from Art Hatfield with Raymond James. Your line is open.
Art W. Hatfield - Raymond James & Associates, Inc.: Hey. Afternoon or morning, I don't know what's going on. Brian, Bob – Brian, your comments about the outlook and how the (15:51), the three things you pointed to. GDP has been – first quarter wasn't good; second quarter, probably a little bit better. First half of the year so far, car loadings haven't been great. There's been pockets of health. But, overall, I mean most of the downward revision is coal and we've touched on that. But, outside of that, it's been mixed. And the backlog is at record – close to historical highs on the freight car side – excuse me, on the railcar side. Given those three make-ups, should we be concerned about the go-forward and the possibility that there will be excess supply within the railcar market and that could lead to pressure on lease rates?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. Absolutely. We think there's going to be excess supply in a number of different markets. But as far as the overall diversified fleet of GATX, as long as economic activity hangs in there, I think it'll perform okay over time. But there is no question, and we've talked about it on this call and in prior calls, between the uncertainty in crude oil and its effect on the frac sand market and small cube covered hoppers and coal. Absolutely those markets are weak and there's oversupply. As far as the rest of the fleet, it really depends on economic activity and where people are going to put their cars. Now, that backlog is so big out there that you could see people try to reframe those orders and try to put them into other service. And that's the risk going forward. So I think you've hit on the right thing. There's a big backlog out there and the question for us, even for our fleet which is so diversified, is what happens with that supply? Does it get canceled? Does it get tried to put into other markets and make things more competitive for us? But for right now, as you can see, with 99% utilization and a 36% LPI increase, things are going really well.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Art, the other thing I'd mention, too, is to not lose sight of what's transpired here over the last few years in terms of our commercial organization being incredibly successful on stretching term and capitalizing on an incredibly strong lease rate market. And so you don't want to lose sight too much of the embedded cash flow in the business and the leases that have been put to bed for a very long period of time at very high rates.
Art W. Hatfield - Raymond James & Associates, Inc.: No, that color is extremely helpful. I think, yeah, you guys have done a great job. And specifically thinking about GATX, the diversification is very helpful and what you said about term, that's helpful for us. The other thing I wanted to ask you about was the maintenance expense number in Q2 dropped off quite a bit. Have you gotten through a little bit of a maintenance bubble and should we see that number continue to trend down, or there's a flat line at these levels?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Yeah. I wouldn't count on it to trend down, Art. In the second quarter, we did see that number come off a bit. Some of that was due to fewer wheelset replacements in the second quarter versus the first quarter. A little bit of that is seasonal. We also incurred some boxcar expenses into service costs in the first quarter. And you saw those cars actually go on lease during the second quarter. So, that also contributed to that drop. So I wouldn't trend-line it down. And as a matter of fact, we probably will see that number go up a little bit during the second half of the year, if some of those variant pieces kind of level out.
Art W. Hatfield - Raymond James & Associates, Inc.: Okay. That's helpful. Can you talk a little bit about the dynamics of the boxcar market? You guys have been shrinking that fleet and getting much better utilization, and I would assume you're getting better revenue per car. We've seen some stories about tightness in the market. We've also surprisingly seen some orders in the marketplace. Kind of how do you think about the boxcar market going forward? And given the cost structure of your fleet, how well positioned are you to compete against some of these new equipment that may enter the market?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. I mean, I'm very pleased with the boxcar fleet performance. And we knew we would be able to improve performance of that fleet, but going from 79% utilization at acquisition to 97% at the end of the second quarter in just 15 months is even beyond my expectation. So, yes, we've scrapped about 1,000 cars, but we've also sold a number of cars. And I think we're approaching taking 2,400 idle cars and putting them into service, so been very successful on getting those cars utilized and converting per diem leases to fixed rate or guaranteed per diem at very attractive rates and locking them in for terms. So it's done very well. And yes, there has been a new car order out there. I believe, it was 3,500 cars from TTX. But that's – I wouldn't say it's a different car type, but it really is a different asset. Those are obviously brand new 60-foot 286,000 gross railroad cars. Ours are extremely old. They started out at 37 years when we purchased them and they're 50-foot 220 gross railroads. So, even with this order, the supply of boxcars in the industry will continue to decline over the next few years. So our investment thesis still holds, which is the number of cars will continue to decline. Our customers are very worried about the availability of boxcars. But the underlying commodities that travel in those cars, that demand is pretty stable. The other thing on that new car, as far as us, we don't think the lease rates that are available in the market really justify that investment, at least not for us. So we don't mind competing against that car with our comp bases. The other thing to think about – and I'm saying it's almost a different asset. For many of our customers, their infrastructure is really optimized around our 50-foot car, and that 60-foot car is less preferred. So...
Art W. Hatfield - Raymond James & Associates, Inc.: Okay.
Brian A. Kenney - Chairman, President & Chief Executive Officer: ...we feel really good about boxcar performance and our ability to compete in this market.
Art W. Hatfield - Raymond James & Associates, Inc.: A couple of questions to follow on to that. One, do you care to comment on what percentage of the fleet is still per diem? And given the age of the fleet, should we expect to continue kind of decline in the size of the fleet as it ages relative to what we've seen over the last year or will that stabilize to some degree?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Well, there were 4,300 cars that were idle when we purchased this fleet. And between putting cars to work, selling and scrapping, we're only down to 500 idle cars now.
Art W. Hatfield - Raymond James & Associates, Inc.: Okay.
Brian A. Kenney - Chairman, President & Chief Executive Officer: So, yes, they will roll out due to age. But as far as rolling out or being scrapped due to idle, there's just not that many idle cars left. As far as the number of per diem cars, yes, it's decreased but it's still a significant portion of the fleet and will be because you want to have that diversity within the boxcar fleet as well. So, like I said, we're thrilled with the performance thus far.
Art W. Hatfield - Raymond James & Associates, Inc.: Thank you. One last one. Sorry to take up so much time. But operating lease expense in North America, can you refresh my memory on what's going on there over the last year-and-a-half? It's come off significantly and appears to be coming down quite a bit this year. Is that just an option of how the car ownership is structured and was in the fleet?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: That's correct. So operating lease expense is associated with cars that historically we have done some form of sale leaseback on.
Art W. Hatfield - Raymond James & Associates, Inc.: Yeah.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: And leased those cars in. So what you see on the operating lease expense line is basically akin to interest or the financing and ownership costs associated with that. Over time, we have purchased in, as the early buyout options become available on those leases. We've purchased those cars and refinance them at much lower rates just directly off of our own balance sheet.
Art W. Hatfield - Raymond James & Associates, Inc.: Okay. So, that would be a function of – well, I mean, you've done a good job on your balance sheet. So is it fair to think about that just straight-lining that? And if that changes adjust accordingly?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Yeah. It'll continue to come down. We're not doing any significant operate – or sale leasebacks at this current time, so. And we'll continue to buy those cars in and finance them directly.
Art W. Hatfield - Raymond James & Associates, Inc.: Okay. Perfect. Hey, thanks for the time this morning.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Sure.
Operator: And our next question will come from Mike Baudendistel with Stifel. Please go ahead.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Thanks and good morning. Just wanted to ask you on the railcar industry data that just came out the other day, the tank cars in backlog is about 46,000. Do you have any estimate of how many of those cars in backlog are for crude or flammable liquid service versus the smaller ones that maybe would compete more directly with you?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Well, the estimates we had were around 80%. I don't know what that number is now. But don't get too enamored with that number because if that demand is not there, they'll try to place other tank car orders and put them into other service. So I wouldn't get too excited about the fact that our fleet is deployed in service other than crude and other – or earmarked for crude. If it's not there, they'll try to put it into other service or try to have a different kind of car.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. And historically you've talked about lease rates being high when railcar OEM backlogs are elevated like they are now. But since they're so much higher than they were at its peak at the last cycle, what level would the backlogs have to be in the industry? I mean, now they're currently 136,000. What level they have to be before lease rates would typically soften?
Brian A. Kenney - Chairman, President & Chief Executive Officer: I don't know that I can answer that specifically. It'd have to be much shorter than it is now. Right now, if you look at the backlog, it's hard to get your hands on a new car any time soon. So you're not going to give up your existing car. And lease rates are – there's still a significant differential between new car lease rates or cars that deliver next year and what you can get on an older car. So, that's why the fleet is doing so well. It's hard to give you a specific number when that flips, but it's going to have to be a lot shorter than it is now.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: To Brian's point too, I think, Mike, I'd just point out again the incredibly strong renewal success rate in the second quarter really and in the first quarter, too. To that point, customers are not inclined to let go of cars that they have on lease today and are in the mindset of keeping control of those cars through renewal.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Good. And the other question I have is on durations. And your 54 months, I know you called out a few railcar types that were sort of driving that number down. If you were to break sort of other – excluding coal and the other car types that you called out, are the durations still around 60 months or more, or is this sort of a normalized number there?
Brian A. Kenney - Chairman, President & Chief Executive Officer: We should have done that math but we try to not start doing that math because they produce all kinds of different numbers. We're just eyeballing this thing. If you take out those three car types and the reduction in term in them, the rest of the fleet hung in there very well, and I'd say either it was flat; in some cases, up.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. Great. Those are my questions. Thank you.
Operator: And our next question will come from Jordan Hymowitz with Philadelphia Financial. Your line is open.
Jordan Neil Hymowitz - Philadelphia Financial Management of San Francisco LLC: Yeah. Can you say what the rates offered to tank cars alone, being put on in the quarter to months that they have been put on for?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Pardon me, Jordan. I'm sorry, I didn't catch that.
Jordan Neil Hymowitz - Philadelphia Financial Management of San Francisco LLC: Can you give the overall lease rates in the quarter for just the tank cars being put on?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: We don't break that out separately. The only external data point we give, Jordan, as you know, is the LPI number. And...
Brian A. Kenney - Chairman, President & Chief Executive Officer: And directionally on the LPI, tank cars were up still, even in this market, a lot more on a percentage basis than freight cars were.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Correct. But that 36% is a combination of tank and freight, and tank would be higher than that.
Jordan Neil Hymowitz - Philadelphia Financial Management of San Francisco LLC: Tank could actually be higher than the freight?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Yes.
Jordan Neil Hymowitz - Philadelphia Financial Management of San Francisco LLC: And second, of the car scrap, can you break them down by types of cars that were scrapped?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: We don't break that out either. I would say the mix of that is pretty reflective of the overall fleet, just given the fact that most of the scrapping that takes place in this type of environment is all age-driven. There's some obviously boxcars that we scrap out, but we give you that number separately. But on a general fleet, it's reflective of the overall fleet.
Jordan Neil Hymowitz - Philadelphia Financial Management of San Francisco LLC: Okay. Thank you.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Yeah.
Operator: The next question will come from Steve O'Hara with Sidoti & Company.
Steve M. O'Hara - Sidoti & Co. LLC: Hi. Good morning.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Morning.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Morning.
Steve M. O'Hara - Sidoti & Co. LLC: I was just wondering if you could talk about the current orders you have for deliveries and whether you have customers signed up to take those cars currently kind of stretching how far into the current order book that you have.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. Sure. We're sold out well into next year. I believe the first availability we have is April of 2016. And as I look at the composition of those orders, I see good diversity in car types and customers, and pretty strong economics actually, although, as I said, it's getting more competitive. But we're still sold out well in advance. And in fact, we've even placed cars on the new order, the new Trinity order that starts in August of 2016. So we're doing pretty well.
Steve M. O'Hara - Sidoti & Co. LLC: Okay. And then, I mean, just in terms of maybe the cycle and in a way the fleet is and I guess the average duration of your portfolio, assuming there is a downturn in the cycle or the economy, I mean I would assume that you'd be able to continue to grow earnings for some period of time into a downturn given the length of the – or the strength of the LPI and the length of the average lease term. Can you talk about how that might work or maybe I have that wrong? I'd appreciate it. Thank you.
Brian A. Kenney - Chairman, President & Chief Executive Officer: We can talk about what happened in the last cycle. So, 2008, when the rest of the markets and the economy, everything was collapsing, we had a record year. And so it takes a while to turn around the aircraft carrier. This time around, I'd say, we've extended term even more dramatically than last time. So it'll be a slower turn. And I know it's too early to give guidance for 2016 and beyond. I think you're right in assuming that over time, the average expiring rate and that LPI starts to increase, and if the market comes down dramatically, there will be a crossover. But where we're sitting here today, absolutely rates would have to come down pretty dramatically for us to see a negative LPI in the near term here.
Steve M. O'Hara - Sidoti & Co. LLC: Okay. And then – so, I mean, in terms of the – I mean, you recently had a pretty big increase in your dividend relative to recent years. And I'm just – I mean, it seems like you're very confident in the cash flow you have embedded in the portfolio and pretty bullish on that given that increase. Is that – would you – is that fair?
Brian A. Kenney - Chairman, President & Chief Executive Officer: That's fair. And to Bob's point that he's made a couple of times is, with the term extension that we've had, we've locked in a decent amount of lease revenue and cash flow over the next couple of years. So, that was one of the major emphases of that dividend increase.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: If you look back just a few years ago, Steve, our committed cash flow or our committed lease income, lease revenue from our North American railcar portfolio just a few years ago was $2.3 billion. At the end of last year, it was just shy of $4 billion. So – and not only has gone up sharply. It's extended, as Brian mentioned. So more of that cash flow will come in in years five and beyond. So, as we look out, yeah, there is some potential volatility or cyclicality associated with earnings, but the cash flow of the company is incredibly strong and we have excellent visibility into that. And that certainly helped drive our decision.
Steve M. O'Hara - Sidoti & Co. LLC: Okay. All right. Thank you very much.
Operator: The next question will come from James Goodfellow with Avondale Partners. Please go ahead.
James Goodfellow - Avondale Partners LLC: Hi. Good morning, guys. This is Jamie on for Kristine. I know you talked about the potential pressures on the backlog pressure, potentially on lease rates and overall softness in the market that could flow through residuals. I was hoping you could speak to any early indications of what you're expecting on remarketing for the rest of the year and then into 2016, particularly even if it's just directionally or what you see in the dynamics of residuals there?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Well, the remarketing income through the first half of the year has been particularly strong. We've already had $47 million of remarketing income through the first half of the year. All of last year, we did about just a little north of $70 million. We said, for the full-year 2015, we would be in line roughly with where we were last year. We still feel that way. So, another extremely strong year from a remarketing perspective. The packages we have out in the secondary market for sale, we're still seeing good activity on those, very good and diverse activity from a fairly wide pool of buyers. We don't see that abating anytime soon. It's too early to talk about 2016 at this point. But just keep in mind that even up or down markets, we have always historically found very good remarketing opportunities from a pretty good pool of buyers.
James Goodfellow - Avondale Partners LLC: Okay. That's helpful. And I was also hoping to run through the dynamics of what you guys are seeing on the Great Lakes freight? I know you mentioned some pressure on iron ore. So any thoughts, any expectations on what's going on in that market?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Yeah. It has been a challenging market, both weather-wise in the first half of the year and then also continue to see pressure from the iron ore side and the steel side. We look at mill capacity utilization as one benchmark around the mills in the Great Lakes region. They're at 72% today. They were about 77% last year. And on a year-to-date basis, iron ore tonnage on the Great Lakes is down about 10% compared to the last five-year average. So those are pretty challenging dynamics to deal with. Typically, your highest margin move is a long-haul iron ore move. So, while tonnage has hung in okay this year versus where we were last year, the mix of that tonnage has moved more towards coal and limestone, and some shorter-haul iron ore, lower margin. However, when we look out through the balance of the year, last year American Steamship's segment profit was right around $28 million. Year-to-date, we're at about $2.5 million or $3 million at American Steamship. They won't get all the way, we don't think, back to where they were last year from a segment profit standpoint, but they'll get a large part of the way there. So we are expecting much better performance from them in the second half of the year.
James Goodfellow - Avondale Partners LLC: Perfect. Thanks, guys. I'll pass it on.
Operator: We'll go next to Steve Barger with KeyBanc Capital Markets. Please go ahead.
Steve Barger - KeyBanc Capital Markets, Inc.: Hi. Thanks for taking my questions. Brian, you talked about people being in the analysis phase for the tank rules. But when you think about the population of likely retrofits and the compliance timeline, do you have a guess as to when that activity picks up? And when it does, do you think it'll affect availability across the market or do you think it'll be pretty seamless in terms of getting the cars in and out and into compliance?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. It remains to be seen, but there's a couple of things going on. First, there's a lot of legal and administrative challenges to the U.S. rule. The Canadian rule is not subject to challenge, but the U.S. rule is. And if you look, there's several challenges that have been filed in the D.C. Circuit Court of Appeals and with PHMSA, and the challenges focus on the modification deadline, the ECP brakes, the high hazard flammable train designation, and tank car standards. So, in fact, if you even look two days ago, the senate reached a bipartisan agreement on a new six-year highway reauthorization bill. And in that bill, there's a section on ECP brakes. And it doesn't repeal the mandate as the rails had been lobbying for, but it does say that the General Accounting Office has to do a study on them. And so the DOT can take that study and change their view on either repeal or endorse the rule following that. And so there's still a lot of uncertainty out there, and I think that's what's driving the fact that things are still on the analysis phase. But, eventually, we're still having those conversations with customers. Eventually, this will get settled. And what I anticipate is if you look in order across the industry, the first cars that should be retrofit or the easiest to retrofit is that CP-1232 that's already jacketed.
Steve Barger - KeyBanc Capital Markets, Inc.: Right.
Brian A. Kenney - Chairman, President & Chief Executive Officer: The second one will be the CP-1232 that's not jacketed. And then you have all the legacy cars. From our perspective, we don't think the legacy cars make sense at all. At least for GATX, our fleet is generally older than the industry, and that cost is prohibitive. I think it's at least twice what PHMSA estimates, and if you have ECP brakes, it gets even more expensive and more challenging. So I don't know if those cars ever get retrofit. I know a lot of people geared up for massive amounts of retrofits. I don't know if that's going to happen, but only time will tell. All I can answer, it is for our fleet and it's highly unlikely that's going to happen. So I think what you'll see is people start to react as things become clear and as those deadlines approach, and that first deadline is in that 2017 to 2018 timeframe. So...
Steve Barger - KeyBanc Capital Markets, Inc.: Right.
Brian A. Kenney - Chairman, President & Chief Executive Officer: ...people are going to have to start to react before that.
Steve Barger - KeyBanc Capital Markets, Inc.: Okay. And we're still fairly early in the oil down-cycle. Is there any talk about distressed assets out there from car owners or small lessors? And if not, do you expect that can happen anytime in the near future?
Brian A. Kenney - Chairman, President & Chief Executive Officer: I have not heard – and once again, if you look at industry utilization, not just ours, the 99%, but I think industry utilization in general is still pretty high. I wouldn't say or I certainly haven't heard of any distressed lease out there. So could it come? Yeah, I don't know that anybody is that focused in their fleet on crude but it could come.
Steve Barger - KeyBanc Capital Markets, Inc.: Or sand cars I guess, right?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. Yeah. I mean there's – certainly people are more exposed than we are and I'd beat our diversity to death, but whether it'll be bad enough to take somebody down, I don't have a feel for that.
Steve Barger - KeyBanc Capital Markets, Inc.: Right. Well, I get the question from investors all the time so I'll just ask it for the record. Are you seeing any customers coming to you for contract modification or do you expect to see that?
Brian A. Kenney - Chairman, President & Chief Executive Officer: No, we've had zero activity as far as customers coming to us to modify contracts, that they don't want deliveries or honestly, even to this point, saying they want to return cars, the existing cars.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: And Steve, the other thing I'd remind people of, and we've talked about this in conferences and what not, is if you reflect back to 2008 and 2009, the worst financial crisis in modern history and probably the most challenging rail market anybody has seen in decades, we didn't see a lot of that then. There were some requests, but we certainly didn't do anything that was uneconomical for GATX. And there was very few of those.
Brian A. Kenney - Chairman, President & Chief Executive Officer: And the other thing I'd point out, it's not like we're immune from people when the market turns down to returning cars, it's just that we've restructured the fleet. I think I mentioned small cube covered hoppers earlier. We literally have single digits as far as expirations this year. So it's just not a conversation that's going to happen. Will coal cars be returned in our fleet? Yeah, sure, if the market stays like this.
Steve Barger - KeyBanc Capital Markets, Inc.: Got you. Thanks. It's good color. Last question for me. Bob, given the cash flow visibility you have in coming years, we know that you want to be a buyer of distressed assets in the downturn. When that happens, if that happens, and I know you want to have capacity to do that, but if you saw continued weakness in the stock, is there a level where you'd step in more aggressively just because you know the cash flow is there?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Well, we always have stock repurchase as one of the options in front of us along with our dividend and CapEx. If we look out over the course of the last through 2006, we've invested over $6.5 billion and grown the balance sheet very strong, while also returning over $1 billion to shareholders through stock repurchase, about $625 million of stock repurchase during that time and another close to $500 million in dividend. So we have numerous levers available to us. But, yes, we're not hesitant to buy stock back and do so aggressively when the opportunity presents itself.
Steve Barger - KeyBanc Capital Markets, Inc.: Very good. Thanks for the time.
Operator: Our next question comes from Justin Bergner with Gabelli & Company.
Justin Laurence Bergner - Gabelli & Company: Good morning, Brian. Good morning, Bob.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Morning.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Good morning.
Justin Laurence Bergner - Gabelli & Company: My first question was just a clarifying question. Can you remind us how many coal cars you have and how many small cube covered hoppers you have that are in frac sand service?
Chris LaHurd - Director-Investor Relations: On the coal car – this is Chris. On the coal car front, we have about 7,500; small cubes, roughly 6,000. About 2,900 of those are in frac sand service.
Justin Laurence Bergner - Gabelli & Company: Okay. Thank you. The second question I have relates to the rate of asset disposition this quarter. I think everyone expected to slow down. Perhaps, the magnitude of the drop-off is catching some of you by surprise. Was there any factor that caused GATX to limit its amount of disposition this quarter, perhaps the fact that a lot of people are looking at these GE railcar assets and maybe you're better served to sort of wait a quarter or two quarters?
Robert C. Lyons - Chief Financial Officer & Executive Vice President: No. There's nothing unique. If you look at our quarter-to-quarter remarketing over history, it's incredibly volatile. And what it's driven by is the timing of us putting packages into the secondary market and closing on sales that are economic to GATX. We're trying to drive the best economic outcome. And we don't try to time sales in any way. We're doing the best thing for the shareholder long-term. And it could be very high in the first quarter or one quarter, like it was in the first quarter and lower in the second. It's just a matter of timing.
Brian A. Kenney - Chairman, President & Chief Executive Officer: Yeah. But we get that question a lot about do we use it to manage earnings, which is obviously we're not doing a very good job of because it's very volatile quarter-to-quarter. It really is driven, as Bob said, by economy. And so don't look for run rates.
Justin Laurence Bergner - Gabelli & Company: Yeah. No, I was just wondering if with the GE assets for sale, you figured buyers were looking at a lot of other things this quarter, but maybe not. I guess my final question relates to the Portfolio Management segment, and specifically this affiliate earnings. I noticed there was a small decline in the affiliate earnings year-on-year. And I was just curious if you might be able to provide any color there.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Well, Rolls-Royce continues to perform extremely well. Their numbers also can bump around a little bit quarter-to-quarter because they also, within Rolls-Royce, they have some remarketing activity. So, nothing of note there. I'd also add, our shipping joint, we have one remaining shipping joint venture and that continues to – those vessels continue to face some pressure in the marketplace that we've talked about in the past. So, nothing of note there, Justin.
Justin Laurence Bergner - Gabelli & Company: Great. Thank you very much. Best of luck in the second half.
Robert C. Lyons - Chief Financial Officer & Executive Vice President: Thank you.
Operator: We'll go next to Gregg Hillman with First Wilshire Securities Management. Your line is open.
Gregg Hillman - First Wilshire Securities Management, Inc.: Yeah. Good morning, gentlemen. I had a kind of a more kind of strategic type question. I was kind of wondering if you have the right balance between entrepreneurialism and controlling the company. In other words, like whether people further down the organization have the authority to develop new businesses that you could better utilize your capital rather than buying back your stock and getting high returns on investment. It seems like you have a lot of great cash cows, but you're still kind of in search of an emerging new growth business. And I was wondering if there's any way you can change the organization so you can put more authority in the hands of people that have really good ideas.
Brian A. Kenney - Chairman, President & Chief Executive Officer: It's an interesting question. Our North American rail business, our European rail business has ample authority to invest where they see opportunities along the way. And I think if you look at the growth in our fleet and capital employed, especially over the last 10 years, it's been pretty strong given the underlying growth in the rail market. So I don't think the structure of our organization is an issue there.
Gregg Hillman - First Wilshire Securities Management, Inc.: Okay. But how about just having an entirely new business? It's somewhat – it could be adjacent like expanding your service offering, or maybe getting into a total different vertical as a way to grow the business and include your return on equity?
Brian A. Kenney - Chairman, President & Chief Executive Officer: Well, the return on equity is very healthy both from an industry perspective and historical perspective. As far as our growth into other verticals or other types of business, we're way more focused on taking what we've done successfully over the last 117 years and applying it to other markets. So we've grown our European fleet dramatically over the last decade. We're now in India, where we're one of the only two lessors in a very growth-oriented market with a lot of potential. And that's what we'd rather focus on rather than getting into unrelated businesses where we have no expertise.
Gregg Hillman - First Wilshire Securities Management, Inc.: Okay. Thanks.
Operator: And gentlemen, it appears that we have no questions remaining. I'd like to turn the conference back over to you.
Chris LaHurd - Director-Investor Relations: Yeah. I'd like to thank everyone for their participation on the call. Please contact me with any follow-up questions. Thank you.
Operator: Ladies and gentlemen, that does conclude today's conference. And we thank you for your participation.